Operator: Good day, and welcome to Zedge's Earnings Conference Call for the First Fiscal Quarter of 2026. [Operator Instructions] I'll now turn the call over to Mr. Brian Siegel. Sir, the floor is yours.
Brian Siegel: Thank you, operator. During today's call, Jonathan Reich, Zedge's Chief Executive Officer; and Yi Tsai, Zedge's Chief Financial Officer, will discuss Zedge's financial and operational results that were reported today. Any forward-looking statements made during this conference call during the prepared remarks or in the question-and-answer session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results in the future to differ materially from those discussed on today's call. These risks and uncertainties include, but are not limited to, specific risks and uncertainties disclosed in Zedge's periodic SEC filings. Zedge assumes no obligation to update any forward-looking statements or to update the factors that may cause actual results to differ materially from those that they forecast. Please note that our earnings release is available on the Investor Relations page of the Zedge's website and has also been filed on Form 8-K with the SEC. Finally, on this call, we will use non-GAAP measures. Examples include non-GAAP EPS, non-GAAP net income and adjusted EBITDA. Please see our earnings release for an explanation of our use of these non-GAAP measures. Now I'd like to turn the call over to Jonathan.
Jonathan Reich: Thank you, Brian, and good afternoon, everyone. It has only been about 6 weeks since our last call, but we have continued to demonstrably execute against our stated priorities with discipline, focus and a strong sense of momentum. The themes we outlined last quarter remain the same ones guiding us today and form the strategic foundation for fiscal 2026. The early results of this quarter reinforce that our approach is sound and that our operating model is gaining strength. Of course, we will modify our course if things change materially. We delivered a solid start to fiscal 2026 with a return to mid-single-digit revenue growth and continued progress across our strategic priorities. What stands out to me this quarter is the quality of that growth for the Zedge marketplace. Subscriptions remained a powerful engine with active subscriptions reaching a record 1.1 million, up more than 50% year-over-year. Average revenue per monthly active user increased again supported by healthy CPMs, higher-value users and continued optimization and improvement in our ad and subscription stacks. This all happened while management was navigating through the anticipated declines at Emojipedia and GuruShots. The important takeaway is that strength across the rest of our ecosystem more than offset those headwinds. Our core business is healthy, resilient and strengthening. I am encouraged by the traction we are seeing with DataSeeds. While the number of closed deals remain small, interest from world-class companies is growing. Recently, we received a second order from an existing customer, a leader in the AI sector. The new order size was approximately 25x the value of the original order placed in Q4 FY '25. This follows the B2B playbook, where the prospect places a modest initial order that is graded and accepted based on our ability to meet their technical specifications. Assuming we fulfill these requirements, the customer then scales order sizes, and we deliver custom fully rights cleared image, video and audio data sets at spec. Our pipeline is robust with dozens of prospective customers and order sizes that start at thousands of dollars and grow from there. Although it is early, and we will not close every opportunity. The strength of engagement speaks to the confidence customers are developing in our ability to execute. A key part of our value proposition is the DataSeeds Production Cloud, or DPC. This is a managed global network of professional photographers, videographers and graphic artists who produce high-quality, purpose-built datasets on demand. Rather than relying solely on a static catalog, we can fulfill bespoke customer briefs that require controlled and consistent inputs with precision. This asset allows us to deliver rights cleared, ethically sourced and consistent datasets, which are essential for training advanced AI models. The DPC gives us a capability that is difficult to replicate and becomes more valuable as customer requirements become more specialized. We are also seeing meaningful confirmation of the broader market opportunity. For example, Reddit recently announced significant licensing agreements that allow major technology companies to use its content for AI model training. These deals demonstrate that enterprises are willing to pay for rights cleared and high-quality human-generated data at scale. That trend reinforces the demand environment we are serving. While Reddit provides access to broad conversational data, DataSeeds is focused on producing custom and highly structured visual and audio datasets that align with each customer's exact technical needs. This positions us well, as companies look for reliable and legally sound sources of training data. Turning to Tapedeck. The pilot continues to progress and early artist feedback remains positive. Tapedeck is designed as a music service that gives independent artists a transparent and attractive economic model and the ability to earn more from their work than they would on traditional streaming platforms. Now the foundation of the service is in place, and our next steps focus on expanding the catalog, increasing listener engagement and refining the features that deepen the connection between artists and their audiences. As we evaluate performance metrics, we will determine the timing for expansion across Android and web. Our approach remains disciplined. We want to ensure that Tapedeck scales in a way that delivers value to artists and listeners while maintaining a clear path to financial return. I also want to highlight continued progress from our product innovation team. Our framework allows us to validate demand before writing code and then leverage AI-driven development tools to accelerate build cycles. Syncat was the first example of this approach, and we expect to introduce additional Alpha products throughout fiscal 2026. Each concept is designed to be small, focused and capable of scaling if it demonstrates early product market fit. More shots on goal with low initial investment give us meaningful optionality while maintaining strong financial discipline. As I often remind our team and our investors, Rovio failed more than 50 times before launching the multibillion-dollar Angry Birds franchise, so iteration and experimentation matter. Before I turn the call over to Yi, I want to address free cash flow because several expected factors influenced our results this quarter. Free cash flow this quarter reflected the timing of restructuring-related compensation tax payments, which have now largely been completed. We also reinvested part of our restructuring savings into high potential initiatives including DataSeeds, Tapedeck and our innovation pipeline. In addition, we experienced some quarter-specific movements in receivables and payables. These items created temporary pressure, but they do not change our expectation for strong cash generation across the remainder of fiscal 2026. This is fully aligned with the operating framework we discussed last quarter and the restructuring actions we executed earlier this year. Stepping back, we entered fiscal 2026 with a leaner cost structure, a more efficient operating model and multiple growth vectors that span both consumer and enterprise markets. We have a strengthening marketplace with a subscription engine that continues to scale, an emerging enterprise business with DataSeeds and a pipeline of new products designed to broaden our reach. We also maintained our disciplined approach to capital allocation. During the quarter, we repurchased 240,000 Class B shares and paid our first quarterly dividend, which reflects our confidence in the long-term value creation potential of the company. We are executing from a position of confidence, discipline and momentum. Our focus remains simple: build products people love, scale the ones that perform and allocate capital in a way that expands long-term shareholder value. With the foundation we have in place, we believe fiscal 2026 will be a year defined by growth, innovation and expanding operating leverage. Wishing all a wonderful holiday season. Thank you for your continued support, and we look forward to sharing our progress in 2026. Now I will turn the call over to Yi. Yi?
Yi Tsai: Thank you, Jonathan. Total revenue for the first quarter was $7.6 million, up 5.8% from last year. There were a couple of items to note here. First, Zedge Marketplace revenue was up nicely from last year, driven by strong advertising CPMs and subscription revenues. Also offsetting growth at Zedge Marketplace was a meaningful decline at Emojipedia, consistent with Jonathan's comments earlier and on our last call, as well as the expected year-over-year drop at GuruShots. Although sequentially, the business was effectively flat, showing stabilization. Advertising revenue was up 6% for the quarter, as strong growth in the Zedge Marketplace was offset by lower ad revenue at Emojipedia. Zedge Plus subscription revenue increased 29% year-over-year, and our net active subscriber base grew 54%, reaching nearly 1.1 million subscribers. We continue to optimize our subscription plans and are seeing the benefits of those changes. Deferred revenue, which primarily represents subscription-related revenue, reached $5.7 million, up 7% sequentially and 55% year-over-year. This is an important metric, as it reflects future revenue that carries essentially a 100% gross margin. Zedge Premium GTV was down 3.7% from the year-ago quarter. And average revenue per monthly active user increased 29.2%, continuing the shift toward higher-value users and improved monetization efficiency. This quarter, note that our digital goods and services revenue includes both GuruShots and DataSeeds with the vast majority being GuruShots at this stage, as we recognized very little DataSeeds revenue in the quarter. We expect to begin lapping some of these weaker GuruShots comparisons in fiscal 2026. Cost of revenue was 7.3%, which was up from 6.4% last year, due to the reduction in partner discounts from Google Cloud Services as well as the introduction of Tapedeck licensing fees and DataSeeds production costs. SG&A decreased about 13% to $5.9 million for the quarter. This reflects the net savings from our restructuring, partially offset by investment in ramping DataSeeds and Tapedeck. GAAP income from operations was $0.9 million compared to a loss of $0.5 million last year, primarily due to the restructuring savings we have seen this year. GAAP net income and EPS was $0.8 million and $0.06 compared to losses of $0.3 million and negative $0.02 last year, respectively. On a non-GAAP basis, net income was $0.9 million, and EPS was $0.07 compared to breakeven last year. Cash flow from operations was $0.8 million and free cash flow was $0.6 million for the quarter. Free cash flow was negatively impacted by approximately $350,000, cash outflow for tax withholding payments related to compensation associated with the restructuring that are not expected to repeat going forward as well as the timing of certain accounts receivable and accounts payable. Adjusted EBITDA for the quarter was $1.2 million versus $0.3 million last year. From a liquidity perspective, we ended the quarter with $18.5 million in cash and cash equivalents and no debt. The sequential decrease includes our repurchase of approximately 240,000 shares during the quarter and as of October, about $600,000 remains available under our current buyback authorization. Thank you for listening to our first quarter earnings call. We look forward to updating you again soon when we report results for the second quarter of fiscal 2026. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Derek Greenberg with Maxim Group.
Derek Greenberg: Congrats on the quarter. My first question is just on the DataSeeds offering. I was wondering if you could help us understand how this gets recognized as revenue in terms of what line item that shows up in? And then just the structure of -- if you receive an order, is that recognized within that quarter or is it recognized over time? Or just how to think about these things?
Jonathan Reich: Yi, do you want to handle that.
Yi Tsai: Yes. So DataSeeds, when we receive the order, we start production, we only recognize the revenue when the products are delivered and accepted. So it could be across quarter. For the time being, because the revenue is still insignificant, we just group it under digital goods and services, the same line as GuruShots legacy business. Did that answer your question, Derek?
Derek Greenberg: Yes. That's helpful. And then in terms of just visibility or conversion, is there a general framework to think about how long it takes you to convert on some of these opportunities in the pipeline or what the typical sales process might look like? You had mentioned there's a ramp where the initial order was smaller and then it can scale from there. And I was wondering if you could just add any more details that might be helpful.
Jonathan Reich: Derek, it's Jonathan. Thank you. At this point, not a lot more details other than to say we've got a robust pipeline. And from the point that we actually receive a lead, there are a lot of operational things that have to happen aside from the production of the content itself, including contract negotiation and the like. And we are investing a lot of time in terms of ensuring that from an operational perspective, we're being efficient. I think that we'll need another couple of quarters until we have the clarity as to what happens from the point that we receive an order until it actually is delivered and being able to qualify based upon what type of content, the magnitude of these orders and various time frames accordingly. I wish I could give you more now, but it's really still very early in the process.
Derek Greenberg: Okay. Got it. That makes sense. Could you talk a little bit more about just GuruShots and how that product is tied to DataSeeds?
Jonathan Reich: Sure. That's a great question. So there are a couple of facets to that answer. First of all, we have delivered content from both the existing catalog where users have opted in to have their content used for AI training as well as from launching competitions specific to meeting the prospects content needs. And in terms of something that we've talked about in the past, mainly GuruShots 2.0, what is the direction that we want to take the product. We have not -- and we said this last quarter, we've not made a decision as of yet. We're going to need to get more runway under us in order to determine whether or not we want the direction of the foundational photo competition game to be there for content acquisition or to heavily weight it towards the gaming aspects that it has existed as up until now.
Derek Greenberg: Okay. That makes sense.
Jonathan Reich: And then there's one sort of final piece there, and that is actually tapping into the creator community that exists to generate custom made or bespoke content needs that prospects have and that is a work in progress.
Derek Greenberg: Okay. Got it. And then just in terms of where that segment is on an operating loss/income basis. I was wondering if you had that number on hand in terms of where GuruShots is operating at?
Yi Tsai: Yes, I can take that, Jonathan. Yes, so as we ramp in up DataSeeds, we incur certain fixed costs. And that, obviously, right now, it's not at breakeven. We still incur losses. So part of the GuruShots operating losses can be attributed to DataSeeds. And in terms of legacy business, right now, if you look at our financial, we're going to publish later this afternoon, it's stabilized at around $150,000 per month. It's just incurring some losses. We're still not at breakeven point yet. But as Jonathan mentioned, when we evolve GuruShots 2.0, it hopefully bring it up to the breakeven point. Does that answer your question, Derek?
Derek Greenberg: Yes, that's very helpful. And then in terms of Emojipedia. You've previously called caught out some potential weakness there. [Technical Difficulty] I was wondering what the impact there looks like? And if you expect going forward further declines or if you think it has the potential to stabilize where it's at?
Jonathan Reich: Yes. I'm sorry, my phone rang. Derek, can you repeat the question?
Derek Greenberg: Yes. Just on Emojipedia, how that's doing in terms of if you anticipate further declines there, more of a stabilization?
Jonathan Reich: Sure. I can't answer that as of now. I think we're going to need another quarter to see how Google continues to advance with the copy-paste feature and what's happening with AI overviews. But my hope is that some of the activities that we have underway to protect our property will translate into slowing or ceasing the impact that has happened up until now. And then separately, from an industry perspective, there has been a lot of banter around how do websites that have been impacted by these AI overviews, how are they ultimately compensated, and we are monitoring that closely to ensure that if there is a mechanism that comes up and is accepted by the industry that we are able to benefit from that.
Derek Greenberg: Okay. That makes sense. And then just on the restructuring costs. You had mentioned free cash flow was impacted by a little bit of leftover restructuring costs. I was wondering if we could potentially quantify the impact of those costs? And then maybe I think you had mentioned you plan on reinvesting this amount maybe into new products. I was wondering if you could just talk about that a little bit?
Jonathan Reich: Let me talk a little bit about the reinvestments and then Yi can get in and provide the actual dollar amount. So the intention is that we take a portion and depending on where we see opportunity to invest that in accelerating, whether it be the innovation track that we have, whether it be DataSeeds and so on and so forth, but doing so in a measured fashion such that we are monitoring our KPIs and that we are seeing tangible results from those investments. The innovation team itself, it's a little bit more nuanced because we will have likely many ideas that we test and that do not ultimately convert into full-fledged products. The idea there though is that we act quickly in order to move on to the next one if the ones that we select do not ultimately yield the results that we expect. And I just want to remind you about something that we said last quarter, and that is before we undertake the development of a new product, before we even code any of the programming needed, we are actually doing marketing feasibility tests as well as competitive research in order to substantiate that the opportunity is there. Once we've crossed those hurdles, then we are in a position where we WAT code and get an MVP, a lean MVP out in a contracted period of time and then begin to iterate from there with gating processes along the way. Yi, do you want to get into the numbers?
Yi Tsai: Yes. So at the end of July, we paid out the severance pay for 2 senior people in Norway. So associated with those severance payment, the company payroll tax is about 14%. And from an employee point of view, they need to withhold pay taxes about 45%. And then additionally, there was some option exercise. They have a large gain, and the company is responsible for up to 14%, again, payroll taxes and tax withholding. So at the end of July, we booked somewhere around $330,000 withholding taxes, which was paid out in October, and that impacted our free cash flow during Q1 '26.
Derek Greenberg: Okay. Got it. That was really helpful. My last question is just on the share buyback program. I was wondering how much was left in that program?
Yi Tsai: Yes. There, we have $600,000 left under the current $5 million buyback authorization.
Operator: [Operator Instructions] Okay, as we have no further questions on the line at this time, this will conclude our question-and-answer session and conference call. We thank you for attending today's presentation, and you may now disconnect.